Operator: Good afternoon and welcome to the Aqua Metals Second Quarter Financial Results Call. [Operator Instructions] Please note that this conference is being recorded. It's now my pleasure to turn the conference over to your host, Bob Meyers of FNK Investor Relations. Bob, please begin.
Bob Meyers: Thank you, operator and thank you everybody for joining. Earlier today, Aqua Metals issued a press release providing an operational update and discussing financial results for the second quarter ended June 30, 2023. This release is available on the Investor Relations section of the company's website at aquametals.com. Hosting the call today are Steve Cotton, President and Chief Executive Officer; and Judd Merrill, Chief Financial Officer. Before we begin, I would like to remind participants that during the call, management will be making forward-looking statements. Please refer to the company's report on Form 10-K filed March 9 or Form 10-Q filed today, August 9, for a summary of the forward-looking statements and the risks, uncertainties and other factors that could cause actual results to differ materially from those forward-looking statements. Aqua Metals cautions investors not to place undue reliance on any forward-looking statements. The company does not undertake and specifically disclaims any obligation to update or revise such statements to reflect new circumstances or unanticipated events as they occur, except as required by law. As a reminder, after the formal remarks, we will be taking questions. Questions will be accepted over the phone from analysts and all other investors can submit a question using the online webcast portal provided in today's and last week's press releases. We will take as many questions as we can in our available time slot. And with that, I'd like to turn the call over to Steve Cotton, CEO of Aqua Metals. Steve, the call is yours.
Steve Cotton: Thank you, Bob and thank you to everyone who joined us today. Aqua Metals continues to make significant progress and has recently marked a number of major milestones towards commercialization of our patented AquaRefining recycling technology. We are delivering tangible results across every critical facet of our business and our vision for the future of the company is coming into clearer focus. In recent months, we've advanced our core recycling technology, announced innovative new partnerships, secured a multiyear diversify of raw materials, started inking our first global licensing deal and raised $25 million in new operating capital. So each of these milestones is substantial on its own and taken all together, we are painting a [evocative] (ph) picture of what sustainable lithium battery recycling company is and how we plan to grow within and transform the electrification and energy storage industry. During the second quarter, we successfully completed commissioning of our state-of-the-art pilot facility and transition to a 24-hour by 5-day a week operation. We are currently producing high-purity saleable quantities of recycled battery materials and what we believe is the first operational sustainable lithium battery recycling facility in the United States. Our patented and patent-pending low-carbon technology is now further demonstrated as both readily scalable and cost-effective compared to other approaches. Many companies in this sector are currently building material preprocessing or shredding capacity and beginning to make black mass at scale. Aqua Metals is the first among peers to be taking black mass and actually recycling it into critical materials and high-value products without using polluting furnaces or trainloads of onetime use chemicals. This achievement is the foundation of our future success and is attracting interest from industry leaders and strategic investors around the world. We are actively shaping that future by establishing key partnerships, supply agreements and customer relationships across the battery and EV value chain to capitalize on our demonstrated and continuously operating pilot facility. And that begins with our own supply of materials. In the second quarter, we contracted for an additional 3,000 tonnes of lithium battery black mass which is the ground-up mixture of valuable metals from spent batteries that we recycle. This is enough to supply our commercial scale operations and meet customer demand well into 2025 and we continue to build a diverse array of black mass processing partners to ensure a steady supply to fuel our growth and to create deeper partnering opportunities with these key suppliers. While metal prices continue to fluctuate, each ton of black mass is worth roughly $20,000 in the recycled components. So this confirmed supply represents an estimated $60 million in revenue once we recycle it. With our proven capability to produce high purity metals from black mass, next is our growing ecosystem of off-takers and customers for the critical minerals we deliver. During the quarter, we announced a first-of-kind partnership with 6K Energy to develop the next generation of sustainable materials for domestic battery manufacturing. We are executing on our nonrecurring engineering agreement to jointly develop and commercialize our low-carbon battery metal conversion process. We are on schedule to complete that work this year and the company's plan to jointly pilot this conversion technology in Tennessee next year. More importantly though, 6K plants to use recycled materials from Aqua Metals to feed a 13,000-ton per year PlusCAM manufacturing facility in Jackson, Tennessee which uses their low-carbon UniMelt plasma technology. We are currently finalizing that long-term agreement to supply thousands of tonnes of high-value critical minerals each year starting in 2025. This is a big deal and central to our commercial growth domestically. PlusCAM is a massive manufacturing facility that will produce cathode materials to power millions of electric vehicles, many gigawatt hours per year and the ability to use our recycled content is essential to their operations. Meeting demand for PlusCAM alone will represent the lion's share of recycled material that we produce in Phase 1 of our commercial scale facility and will be a key revenue driver as we ultimately scale our own Tahoe-Reno campus to 10,000 tonnes per year. But our growth as a company is not limited to recycling at the facilities we build and will operate ourselves, more recently, we announced a new strategic investment in global partnership with South Korea-based Yulho Materials. Yulho is already established as a leading black mass producer in South Korea and is currently building the nation's largest black mass processing facility. South Korea is one of the biggest global markets for critical battery minerals and is home to some of the world's leading electric vehicle and battery companies, who already supply Yulho with both end-of-life batteries and manufacturing scrap to convert into black mass. Yulho Materials has made a $5 million strategic equity investment to help accelerate our commercial growth in the U.S., underscoring their confidence in Aqua Metals' transformative technology and demonstrated results at our pilot scale facility. That in itself is great news. But in addition, Yulho will be our first licensing agreement for our AquaRefining technology for use in their own facilities in South Korea. This is a realization of our strategy for future global expansion and will deliver immense benefits for our company and for all of our shareholders. We are negotiating final terms and expect the initial licensing agreement to cover up to 100,000 tonnes of material processed each year in South Korea. At an average value of $20,000 a tonne, that represents a $2 billion market opportunity annually that the companies will share it. We expect Yulho will commence with their first AquaRefining in South Korea in 2024-2025 and they plan to embed part of their technical team with Aqua Metals to accelerate the commissioning of their own facility. With their growing partnerships in global EV and battery leaders, Yulho is also poised for success and rapid growth. Beyond this initial license, both companies have also agreed to explore together further expansion in Asia and the European Union as those markets continue to build out global battery and EV manufacturing hub to meet the rapid demand for electrification of the transportation sector. With our innovative recycling process proven at scale and an expanding roster of industry-leading customers for our products and our technology, the next gate in our commercial strategy, we have successfully traverse was securing the funding need for our accelerating growth. In addition to the $5 million investment from Yulho last month, we completed a public offering which raised an additional $20 million in operating capital for the company. This offering was quickly oversubscribed, demonstrating the confidence expressed by investors in our fundamentals and our strategy for Aqua Metals growth going forward. First, this capital we used in part to continue building our first commercial scale facility in 5-acre recycling campus right here in Tahoe-Reno, a short distance from our innovation center. Second, this capital is also a necessary component of other non-dilutive funding sources that Aqua Metals is pursuing. As we have previously discussed, Aqua Metals is applying for a loan with very favorable terms guaranteed by the USDA. And one of the requirements of these types of loans is necessary capital in hand which we now have. And similarly, many of the grant and loan application programs managed by the Department of Energy and federal agencies would also have cost share and capital requirements. By raising these funds today, we not only get necessary capital for equipment and operations but we are also able to access larger funding opportunities in the future, even including traditional debt financing. Our company now has a more robust balance sheet, cash position and overall value because of the investments received and we are confident this makes Aqua Metals an even stronger company going forward. In short, we've made tremendous progress in a short period of time. With the necessary capital in hand to reach commercial scale, new innovative partnerships spanning the globe and the growing list of industry-first achievements under our belt, we believe there is no stopping our vision of transforming the critical minerals and battery materials industry. In the coming months and the remainder of 2023, you can expect Aqua Metals to continue to make strides, including and not limited to finalizing a multiyear supply agreement with 6K Energy for their PlusCAM facility, signing the first licensing deal with Yulho for AquaRefining technology in South Korea, generating initial revenues from sales of recycled materials at our pilot facility, providing updates on Department of Energy grant and USDA loan funding applications and we will continue to advance construction and commissioning of Phase 1 at our new commercial scale facility with plans to be operational by mid-2024 and reach our target of 3,000 ton per year run rate by the end of 2024. The future of Aqua Metals as a global leader in sustainable battery recycling is coming into clear focus and we expect to finish 2023 as a commercial company selling the valuable battery minerals that we recover. We are solving difficult challenges in building a truly sustainable energy storage industry that is destined to become as large as oil and gas and ultimately eclipse it as electrification and decarbonization take hold. And capitalizing on our unique opportunities to pass our peers before they are even up and running. I look forward to sharing further updates with you all soon and I'll turn it over to Chief Financial Officer, Judd Merrill, to discuss the results for the second quarter.
Judd Merrill: Thanks, Steve. Let me start my comments with our balance sheet. As of June 30, 2023, we had total assets of $22 million and working capital of $4 million. We ended the quarter with total cash of approximately $6.2 million. On July 21, 2023, we completed a public offering of approximately 18 million shares resulting in $20 million of gross proceeds. In addition to the capital investment, the company entered into an agreement to execute a license agreement with Yulho. Yulho invested $5 million into Aqua Metals and that money was received last week. Cash on hand and cash received from these transactions totals approximately $30 million of cash available to the company to fortify our balance sheet, enabling the company to find and pursue debt for the first phase of development of our 10,000 ton per year campus facility. Also changes on the balance sheet include a reduction in both the lease receivable assets and the ability to purchase deposit liability, both of these went away as we completed the sale of the 2,500 Peru asset which netted approximately $6 million after paying off the $6 million bridge note without [indiscernible]. There are no other significant changes to our balance sheet since our last quarterly report, so I'll move to the income statement. In Q2, we are focused on advancing and executing on our operations at our pilot facility. The costs related to operating this facility were approximately $1.5 million for the quarter. Although no revenue is recognized during the quarter, we did record modest service fees from our development agreement with 6K and those fees are recorded in other income. Research and development costs were consistent compared to the quarter ended June 30, 2022. Included in R&D expenses are costs related to our agreement with 6K. General and administrative expenses increased approximately 19% for the quarter ended June 30, 2023, compared to the quarter ended June 30, 2022. This was in line with expectations and guidance. Noncash charges included in G&A includes [ph] approximately $0.6 million. For the second quarter 2023, we had an operating loss of $4.9 million, compared to an operating loss of $4 million for the same period in 2022. Our net loss for the quarter ended June 30, 2023, was $4.8 million or a negative $0.06 per basic and diluted share compared to a net loss of $3.2 million or a negative $0.04 per basic and diluted share for the same period in 2022. Moving to the cash flow statement. Cash provided by operating activities for the 6 months ended June 30, 2023, was $5.5 million and includes approximately $12.3 million cash received related to our lease receivable, offset by operating expenses. Net cash used in investing activities for the quarter was $5.5 million. This consisted mainly of $4.3 million utilized towards the purchase of property and equipment. Net cash used in financing activities was $0.8 million for the quarter. This consisted of $2.8 million in net proceeds from the sale of Aqua Metals shares pursuant to the market offering and $2.9 million in proceeds from the loan agreement secured with Summit Investment, offset by $6 million used to pay off the note payable as noted in Note 11 of our financial statement report. We have bolstered our balance sheet and have managed our operations responsibly. When we include our cash balance and $25 million from the capital raise and the direct investment by Yulho, that we completed subsequent to quarter end, we believe that we have sufficient capital to fund our proposed operating plan through 2024. This would include the commencement of the Phase 1 build-out of our recently acquired 5-acre recycling campus at the TRI Center. And with that, that concludes my remarks on the financials. I will now turn it back over to the moderator for Q&A.
Operator: [Operator Instructions] Our first question today is coming from Sameer Joshi from H.C. Wainwright.
Sameer Joshi: The Yulho agreement, is there any revenue sharing once the plant is up and running?
Steve Cotton: So for Yulho, the licensing agreement, we will share in the revenue from that production facility. So as it scales, we will share with them a percentage of that revenue.
Sameer Joshi: So it's like a royalty kind of payment or...
Steve Cotton: Exactly. Yes, in the form of licensing royalty. Correct.
Sameer Joshi: Okay. Is there any...
Steve Cotton: And that's in additional to the $5 million equity investment they made in the company.
Sameer Joshi: That they already made. Yes. Is there any commitment for Aqua Metals to spend a certain amount to make sure that –Yulho does what it says it will do.
Steve Cotton: So the beauty of this arrangement is that the $5 million they've invested is earmarked to help us ensure that we continue to quickly build our facility Phase 1 of our campus environment here. They're going to be sending technical and management folks here to embed with us to help us stand that up and effectively put together the plans for the twin of that in their facility where they're going to have an AquaRefining operation there. So there's really no capital cost to Aqua Metals. And in fact, the $5 million investment really helps support what it is that we're doing here. So that's why that deal was attractive to both parties is that we could both move as quickly as we could. And they could spend the capital in South Korea, while we focus our capital spend here in the U.S. into the Tahoe-Reno Industrial Center.
Sameer Joshi: Understood. And just another clarification on that. Is this a license for development within a certain region or up to a certain extent? Like is it up to 100,000 tonnes and then beyond that it doesn't apply? Or is it applicable to South Korea and maybe Asia. What is the scope?
Steve Cotton: Yes. So the tonnage is up to 100,000 tonnes. They're going to start with 8,000 tonnes and then go to 24,000 tonnes in that first facility of theirs. So -- but the 100,000 tonnes is kind of the overall licensing umbrella that we've agreed to with them. We're going to be exploring opportunities even beyond South Korea together because some of their partners that are in South Korea have global deployments and global operations in battery cell manufacturers. And so there are going to potentially be other opportunities but the licensing arrangement in South Korea really is for the -- up to 100,000 tonnes. And that would equate, by the way, to about $2 billion worth of material being processed where the companies would share.
Sameer Joshi: Right. Yes. On the 6K Energy front, again, similar questions. Is there any commitment from Aqua Metals to spend a certain amount of money?
Steve Cotton: So on the 6K Energy deal to date, what we've agreed to is that 6K Energy has been paying Aqua Metals a nonrecurring engineering, or NRE dollars towards our development of this connector technology that allows us to take our pure metals and get them into a specialized slurry concentrate for them so that they can deploy that technology in their Jackson, Tennessee PlusCAM facility that they recently broke ground on. And so that is really the money that's exchanged hands so far. 6K Energy spending money to Aqua Metals to develop that technology. That program is on budget, on time and going very well, expected to wrap up the end of the year and then move forward with a pilot of that connector technology in their facility as its next step as well as considering offtake arrangements for what we produce in the campus environment Phase I and beyond out here in Tahoe-Reno, as well as considering how we get our process closer to their process in Jackson, Tennessee and working out of what that might look like in the longer run. So there's no real capital cost dollars for Aqua Metals. In fact, if anything, we're getting money.
Sameer Joshi: Understood. And then just 2 quick ones. Should we expect initial revenue dollars in 3Q or 4Q? And then the second question is, what is the expected burn over the next 2 quarters? Is it around the $5 million range or something else?
Judd Merrill: Yes. So we believe we'll have some small revenues from the pilot plant in this quarter and in the last quarter of this year, the third and fourth quarter. The purpose of the pilot plant to get us ready for the demonstration commercial size 3,000-ton facility that will generate a lot better revenues. And so we've done that and so we're starting to build that out. But -- so we'll see some revenues there. The burn should remained consistent. We've been about on a cash basis for -- our base G&A and operating has been about $900,000 a month. So we're kind of staying budget-wise about $1 million a month for kind of maintaining that cash needs.
Sameer Joshi: Thanks for taking my questions and congrats on all the progress.
Operator: Your next question is coming from Colin Rusch from Oppenheimer.
Colin Rusch: Can you remind us of the CapEx plans for the balance of this year and 2024 to get to the commercial ramp?
Judd Merrill: Yes. Thanks, Colin. So that commercial -- sorry, commercial demonstration facility is going to be about a $30 million CapEx need. We started spending a little bit on that already, ordered some long lead time equipment. We're getting -- we're already in there doing some of that work, getting ready for it. But in total, between now and the first part of next year, it will be about a $30 million CapEx spend.
Colin Rusch: Okay. That's helpful. And then with the debt facility that you're looking at, can you give us a sense of how big a facility you're looking at? And kind of what the spread is kind of penciling out in a rough way versus any of the benchmarks that you may be back to?
Judd Merrill: So with what -- can you just repeat that with the...
Colin Rusch: The size of the debt facility that you're looking at doing and where you think interest rates shake out on that facility?
Judd Merrill: Yes. So this is the debt facility we're looking at with the USDA guaranteed notes. We're getting very close to applying for that. And we think that's probably interest rates below 10%, it's probably closer to 8% on that. And that -- the size of that is $25 million. And then that would be used to fund the $30 million CapEx.
Colin Rusch: Okay. And then the final one is just how far along you are in customer conversations and starting to qualify any product that might get used in the battery?
Steve Cotton: So we've definitely been going through share of materials to battery manufacturers. We -- one of our announced battery manufacturer partners is Dragonfly Energy which is actually right here in Tahoe-Reno developing silicon anode, solid-state, next-generation LFP, lithium iron phosphate batteries. And others that we've shared our materials with and we've gotten great feedback so far on the high purity and high-quality that people are seeing from the products that we're producing, particularly that lithium in the form of lithium hydroxide. So we've already validated some great progress on customer receptivity to the materials that we're producing which is quite heartening. In fact, we've been told by one partner that the lithium hydroxide that we provide is the purest lithium hydroxide they've seen even compared to mined materials.
Operator: I'd like to turn the floor back over to Bob for any web questions.
Bob Meyers: A few questions from the webcast. First, why did Aqua Metals decide to raise equity capital now?
Steve Cotton: Okay. Great. So well, first and foremost, our decision to initiate an equity offering for the first time in really 4 years -- over 4 years, was made from a position of strength. The timing aligned seamlessly with our long-term strategy. And that ensures that Aqua Metals remains really at the forefront of our advancement as a company and in the industry. And this capital injection really empowers us to accelerate the phase development plan of our commercial scale campus. It also strategically positions us to seize these imminent growth opportunities. And one of the pivotal benefits of this move is the enhancement of our credit worthiness. As we continue the process that Judd was just talking about to apply for the government programs, including the USDA loan but along the grants. This capital really serves as a robust financial backstop. And as we all know, that's really a prerequisite that all funding department mandate, you need to show that you have money in order to borrow money. So the confidence level in our financial stability is really now quite bolstered and that sets us up for success in gaining access to these non-dilutive types of funding sources. Then I'll add when viewed in conjunction with our recent strategic investments, this equity raise is also a testament to our commitment to really being prudent stewards of our balance sheet and keeping it strong and unlocking the opportunities to have access to these additional financing opportunities but also just be a company with a strong balance sheet as it talks to partners and potential partners. So it really has helped. And one more thing I would add is that our recent partnerships combined with our strengthened balance sheet, it really do create a potent formula. We're not just optimistic but we're confident that this sets us up on a continued trajectory of success.
Bob Meyers: Perfect. Next question. Can you discuss the evolving strategy around both owning and operating a recycling plant and the opportunity around licensing agreements and potential JVs the company is exploring with current and potential partners?
Steve Cotton: Yes, absolutely. Yes. This is critical to understanding the future of Aqua Metals. How we'll grow and evolve in the coming years. And the main highlight here is the flexibility of our strategy and our ability to adapt to the rapidly growing and evolving market and capitalize on those kinds of opportunities. Our core business is owning and operating our own commercial scale, sustainable recycling facilities that are going to be central to our growth as evidenced by our 10,000 tonne per year campus that we're currently developing and building in the Tahoe Reno stained lithium loop right here in Reno, Nevada. But at the same time, we don't want to be limited to sole ownership. So for future AquaRefining campuses and other facilities, we can also develop these alongside partners, black mass supplier partners or even offtake partners, EV manufacturers, cell manufacturers and look at creating joint ventures or even other arrangements. We have previously shared that we are in discussions with 6K Energy to jointly develop and operate a pilot on our innovative low-carbon battery materials conversion process. And this structure can work in a number of scenarios, especially in co-located facilities with large battery and CAM or cathode active material or pre-CAM, pre-cathode active material manufacturers. And of course, our exciting announcement with Yulho embodies our licensing strategy because with our technology proven out and demonstrated the ability to scale, the licensing enables us to rapidly and capital efficiently scale this AquaRefining technology globally. And sooner rather than later, there's obviously a distinct financial advantage to licensing arrangements and that creates another revenue stream for Aqua Metals in the future, in addition to our own operations. And the Aqua Metals can support multiple licensing projects simultaneously yet still keep our core focus, allowing us to expand rapidly in markets systems really otherwise inaccessible to us at this time. And I'll add each of these pathways to future growth is equally viable because our groundbreaking technology and demonstrated success to date has gone very well. And so for Aqua Metals, it comes down to identifying the right partners to work with and our expanding loss or industry-leading partners that really reflects our multifaceted growth strategy. So it's not just a singular strategy and it allows us to propagate our technology as quickly as possible. So the right infrastructure gets built rather than putting in smelters and hydro facilities with consumer trainloads of toxic chemicals.
Bob Meyers: Perfect. And regarding our commercial plan, can you provide an update on the production time line of the new facility at the Waltham site?
Steve Cotton: Sure. Happy to. So things are really going great over our commercial campus and progressing so far on time and on budget. We recently started this week concrete demolition for some of the internal structures that we're building to put in a mezzanine level to get more square footage out of the facility. And we've upgraded the electrical and other systems and even put on a nice new paint job on the outside that looks just like the picture that we put out of what the facility will look like as well as the inside. And we also outfitted brand-new office space which is now already housing several of our engineers, project management function to oversee the build while they're on the site. And equipment is being purchased and moved into the location and that includes our state-of-the-art R&D lab which already lives and operates on the campus as well. We moved that from the innovation center, so we would have that R&D lab right there on the campus environment, also supporting the innovations that are just down the street. We also expect that we'll complete the installation and upfitting of the current building really early in '24 and begin commissioning and then introducing black mass input and ramping up the operations at that point in time. Our plan is to ramp to the commercial scale through the second half of '24 which in this building is projected to get to that 3,000 tonnes of run rate of black masking processed as we get towards the end of '24 which is that $60 million a year revenue run rate. With the recent announcement of the successful completion of our pilot, I'll also add that we're able to dedicate our senior engineering team and the senior operations team to the build-out as they've handed over the operations of the innovation center pilot and they can focus on operating the pilot 24 hours a day, soon to be 7 days a week from 5 days a week, while the engineers and senior operations team did focus on the completion of the first commercial campus.
Bob Meyers: Great. And speaking of the pilot plant, there's a few questions around that. Can you talk a little bit about what we're doing with the material that we produce there beyond some of the comments we made in the prepared remarks.
Steve Cotton: Yes. So the initial materials that we are producing at the pilot really do have a few purposes. And I've already kind of mentioned that we're already using some of the material for our own testing as well as providing to partners. But we're also stockpiling some of the material to help us commission our commercial scale facility. And that helps to kind of prime the pumps over down the street as we bring that the equipment online soon. And there's -- as I mentioned before, significant demand for samples that we're seeing from all these leading companies across the battery and electric vehicle supply chains because as the first non-smelting or chemical-intensive recycler and really the only technology that's currently operating at scale is an alternative to those. We believe that we're the only company that can share representative samples of these recycled materials with these types of manufacturers which we have been doing. And they're obviously in a rush to secure supplies of critical minerals that are U.S.-based but also that are sustainably produced, so it's a double whamming. And there's been a lot of demand for those high-purity samples. So that's what we're spending a lot of the efforts on what that pilot is, bringing those folks through, getting them samples and working towards building lasting relationships. And as we build up, lastly, the supplies in sight, we will sell some of those recovered materials. Judd mentioned that earlier in the call today. And we'll make those materials and sell them and we'll also build up enough supply to justify some of the shipping costs from the pilot because it does lower quantities of production but still get some actual first revenues from the first sales of sustainably recycled materials in the beginning of this current quarter. So that's a really exciting thing as well for us. But this is, of course, a pilot scale facility and we expect to generate pilot scale revenues, as Judd mentioned, in the near term but our unique ability to deliver these samples to these strategic partners today to further develop those relationships gives us a real distinct advantage, we believe, in the marketplace. So all the materials that are being produced at our pilot facility are being put to good use. Anyone can come and see them if they like. We've had people come through and see it with their own 2 eyes, the metals and the lithium products that we're generating. And we're using the pilot to not only get ready for the commercial plant but to advance those commercial interests and partnerships and generate some additional revenues for the company while we're at it.
Bob Meyers: Great. Moving on, can you provide some granularity on the differences between Aqua Metals technology as compared to some of our competitors who have been afforded much higher valuations?
Steve Cotton: So AquaRefining is very differentiated in that we've decarbonized the process because we generate a tiny fraction order of magnitude amount of CO2. And that's because if you're smelting and burning the batteries, you're creating massive quantities of CO2 greenhouse gas, in fact, by weight, believe it or not, more greenhouse gas than black mass processed. The hydro gets a little bit better with the hydrometallurgical processes but they still generate nearly triple the amount in weight of CO2 in the form of CO2 gas. We capture the carbon and don't create CO2 gas with our process. And that carbon can get actually put into a reuse scenario like with cement and things like that. But the key portion of that is, it doesn't go into the air. And that's the gas side and the greenhouse gas side equation. We regenerate the chemicals in our process using electricity. That's very unique to Aqua Metals as compared to the other folks are out there. And what that means is that we don't have to bring in trainloads of caustic chemicals on the front end to go through more like traditional mining processes of leaching that then create a back-end challenge of a waste stream of sodium sulfate. And the sodium sulfate is as a percentage of the wage of the materials that come in, whether it's pyro [ph] or hydro is very high, if not equal to, the amount of material that's being processed to begin within our process because we use the electricity as the reagent to drive the process rather than chemicals and fire, we regenerate the chemicals that we use and we create zero sodium sulfate. So that's advantageous to us as a planet and as a species and multiple species because we're not wasting the atmosphere and creating a bunch of solid waste streams. But we also have improved economics because we don't have to spend all that money in all those chemicals. We don't have to buy a bunch of fossil fuels. We don't have to spend millions of dollars on crystallization systems to create sodium sulfate crystals that just get thrown into the landfill of the ocean, let alone, the transport costs, et cetera. So it's a very different approach. And that is our differentiator. And why these other companies have disparate valuations to us is up to the market. And we do believe that as we are steadily trotting along and producing materials that we're going to see a little bit of adjustments in those tides of valuations. It can't be as disfare as it is for much longer in our opinion.
Bob Meyers: Great. And then we have a 2-part question on partnerships. Do the partnerships announced to date preclude you from doing licensing deals with other companies? And what does the landscape look like for additional partners?
Steve Cotton: So the landscape is really exciting because we're talking to players from every aspect of the ecosystem ranging from black mass suppliers to offtake partners that are making cathode active materials like a 6K Energy to cell manufacturers discussions directly to EV manufacturers that are verticalizing that want to have control of those minerals and close their own loop on that. So we are evaluating each partnership and making sure that we set up our -- I would call it our dance card, so we have the right mix of partnerships. So we're taking the time while we have the pilot operating and why we're meeting with all these folks to make sure that we allocate the best result of partnering for us and for our shareholders really and also ensure that we don't get tied up in any sort of a scenario where we can't operate one function of our business if we partner too strongly with one particular entity. Our goal, both economically and altruistically is to propagate AquaRefining technology as quickly as possible and get it in the hands of not only our own cells but in the hands of partners that can help capitalize and deploy the -- empowered environmentally superior suite of technologies which, by the way, is far better for worker safety. Because you don't walk into work every day to the health scape of smelting or with a hot suit or of a chemical suit to do the standard hydro processes. And so we want to create those kinds of jobs from our process as well and get that technology into the hands of others but yet not constrain ourselves.
Bob Meyers: Great. A little bit of an extension. What are the prospects for Aqua Metals becoming a contracted recycling provider for the large automobile manufacturers? And are we talking to Tesla and other brands?
Steve Cotton: So the -- what that question is about is kind of like a -- what I would call tolling. So merchant businesses where you're buying the black mass feedstock, your input supply and then processing it your own costs and then selling that offtake to others. What this question is about is our willingness and ability to do tolling arrangements. And particularly, EV manufacturers, it certainly may make sense because they get that material back and that they want to close their loop and are looking for -- some of them are looking for suppliers that can help them do that. And that's something that we see great opportunity with our existing black mass and even offtake partners such as a 6K energy that together we can toll that for those EV manufacturers and show that chain custody of when those batteries come back, they get cleanly crushed and converted to black mass, go to a process which is a lithium of refining process instead of a smelting or a hydro process that makes that environmental mess. They get the benefit of those materials on the back end, going through a cathode active material manufacturers such as the 6K Energy and then back into their streams. So we see that type of opportunity and those are the very types of things that we're talking to some of these folks about. I can say that each significant major deal that we anticipate doing is going to have its own unique aspects. And that goes back to the prior question to where we got to make sure that when we do one deal, we don't constrain ourselves from doing other deals so we can continue to propagate the technology and not allow anyone to tie it up.
Bob Meyers: A couple more here. A couple related to grants and just to clarify for folks. Do you expect to be eligible for other sources of government grants through the DOE and the USDA? And maybe we could just provide an update to clarify a few questions.
Judd Merrill: Yes. So we not only expect to be eligible. We've read some of the language that that's coming out in some of the pullets for both IRA and the build back better plan. And we believe that we're like very good fits for the DOE next round. And we actually believe that, that's very, very soon that will be seen that come out to the point where our Chief Business Officer, Dave McMurtry and others of our team are spending a significant amount of their time working on making sure that we are ready and able to apply for these grants. We've hired a consulting firm out of Washington, D.C. that's done these grants before for other companies. We're very familiar with the process. They are working for us and hoping with us and getting us prepared to apply for those brands. So we're going to be very, very aggressive. We think that right now, there's an opportunity that hasn't been there before. And so we're going to take advantage of that and work to get these brands. In addition to that, we did apply for -- these grants are like in the $50 million plus range. So these are very significant amounts. In addition to that, we did apply for a grant related to our recycling process, mainly around the lithium side earlier this year, it's a $5 million. And so we'll be waiting to hear back on that one as well. So that's an important piece. But we're also familiar with as we talked about the USDA, with programs they have, there's some other programs that we think we're eligible for, we're also looking at tax credits, there's a production credit and capitalization credit that we think we qualify for it, it will apply for in 2024. We think that's a good timing that changes. We'll look at what that looks like but those are coming up. We applied for tax abatements that are specific to the state of Nevada. So we're very -- spending a lot of time trying to make sure that those things are available to Aqua Metals as well.
Bob Meyers: Perfect. Kind of a new question here. How does your cost of recycling compare to mining? And what do you see in the future?
Steve Cotton: So it's quite interesting because the cost per tonne of material produced when you're mining high-grade materials such as black mass, is significantly less. So that puts us at a really interesting cost advantageous perspective of being able to urban mine that "high-grade ore" of that black mass material. So that is an advantage that we have over the mining in terms of our cost envelope that will obviously very much help us. And in the longer run, as students of history of the battery industry, if you take a lead-acid battery today, that you bought and analyzed what percentage of that material came out of old batteries, it's about 90% in the U.S. -- 80% to 90% globally. And the rest of it came from mine materials. Right now in the lithium world, close to 0% of that material is recycled. Certainly, the lithium has been recycled successfully yet until we've been doing it really. And so that gives us a vision in the future where what we want the world to get to is the point where we dug the stuff out of the earth once and now we're using it perpetually over and over and over again. And then now you're only mining to feed the growth. And then overall you're reducing the cost of per kilowatt hour of storage of battery energy storage because you can continuously recycle and reuse that material on a more cost-effective basis than mining. So it will take some time for the industry to get there. But recycling is really the linchpin for us to get from where we are today as a society to a closed loop battery age society that's infinitely recycling all these critical minerals.
Bob Meyers: Perfect. And I know we're running out of time but one quick question here that's a little different. Will your clients be able to apply for renewable energy credits for using your products versus other more hazardous or polluting product processes.
Steve Cotton: So that is a really interesting question. We are looking into that. Tesla, for example, got paid by the other auto manufacturers for their -- they got subsidies basically from the other manufacturers for some years. We see opportunity there as we are fully decarbonized and we might have the ability to monetize that but we haven't confirmed that as of yet but we're certainly -- we certainly have our eyes on that opportunity. I will add one other comment there is that because we are net-zero in our approach to get to a net-zero capability with -- getting to that 100% renewable energy, 100% carbon-free, we're that part of the supply chain for all these players. And so by working the materials through an Aqua Metals process and the partners that we work with that are also electrically based and clean on the black mass production and on the cathode active material production, together we can be the Scope 1 case. The supply chain accretive benefits to EV manufacturers and cell manufacturers, et cetera. So that is a real advantage that we can bring to the table from that perspective.
Operator: We've reached at the end of our question-and-answer session. I'd like to turn the floor back over to Steve for any further or closing comments.
Steve Cotton: Well, thanks again, everyone, for your time and attention today and we're rapidly advancing our operational and commercial initiatives as you've heard today on a global scale and it's a really exciting time for Aqua Metals and we look forward to providing continued updates and our continued progress. And in the meantime, if anybody has questions, you can always go to our website and see -- in the media section, we have a blog and that has a lot of up-to-date information and videos and things like that. You can also contact us directly, as well as, of course, at FNK IR. Thanks again, everybody.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.